Operator: Good afternoon, ladies and gentlemen, and thank you for holding. Welcome to Dyadic International’s Q1 2013 Financial Results Conference Call. (Operator instructions.) My name is Gwen and I will be your Conference Coordinator for today. As a reminder please note this call is being recorded. At this time I would like to introduce your host for today’s call Michael Faby, Dyadic’s Chief Financial Officer. Please go ahead, sir.
Michael Faby: Thank you, Gwen. Good afternoon and thank you for joining today’s conference call to discuss Dyadic’s financial and operating results for the three months ended March 31, 2013, which were reported in a press release issued earlier this afternoon. The press release and Dyadic’s quarterly financial statements have been posted to both the Dyadic and OTC Markets websites. I’m joined today by Dyadic’s Chairman, President, and Chief Executive Officer Mark Emalfarb. On today’s call Mark will update you on recent developments as well as some of the highlights of Q1, and I will then review Dyadic’s financial results for the quarter in more detail. We will give you an opportunity to ask questions. (Call instructions.) Mark will then provide his closing comments. Before we begin we would like to remind you that certain statements made in this conference call may be forward-looking statements which involve risks and uncertainties that could cause Dyadic’s actual results, performance or achievements to be materially different from any future results, performance, or achievements expressed or implied by these forward-looking statements. Except as required by law Dyadic expressly disclaims any intent or obligation to update any forward-looking statements. I will now turn the call over to our Chairman, President and CEO Mark Emalfarb.
Mark Emalfarb: Thank you, Mike, and I want to thank all of you for joining us on today’s call. As we move into 2013 the momentum in our business is building upon the solid, profitable year we had in 2012. Our C1 technology continues to become more productive, robust, and versatile in the types of products that can be made. We believe C1-derived enzymes can offer our customers improved performance characteristics as well as productivity yields. This view is validated by the news we announced this morning where Dyadic signed a landmark strategic research and licensing agreement with BASF, the global chemical giant based in Germany. I will review this agreement in a moment. The quarter was solid financial. Enzyme product sales grew 20%, outperforming the enzyme industry as a whole which had only single-digit growth. Our cash balance remains strong and we expect this balance to continue to grow through the end of the review as we received a $6 million upfront license fee from BASF and a final $2.5 million payment due from Abengoa for the expansion of their license which was announced last year. Mike will offer additional details on the financials shortly. The strategic research and licensing agreement we signed with BASF is further endorsement of our patented and proprietary C1 platform technology. BASF is one of the giants in the chemical industry with only $90 million in sales, 110,000 employees and factories and offices around the globe. BASF could have pursued any number of avenues to grow its industrial enzyme business – internal R&D, other partners, you name it. After evaluating the alternatives they concluded that having a C1 technology would best enable them to quickly discover and efficiently produce new valuable enzymes that will further empower BASF to more effectively compete with other enzyme producers like Novozymes or Dupont’s [Ten Car]. We appreciate BASF’s confidence in our technology and our world-class research and development team based in The Netherlands. Many of the details of the agreement cannot be disclosed for contractual and competitive reasons but let me share the broad outlines with you. BASF will make an initial upfront payment of $5 million for the license which we expect to receive in Q2 this year. Then they will pay an additional $1 million on completion of certain contractual technology transfers. We expect to receive this payment in Q3 this year. Additionally, when certain productivity levels are achieved in a fully funded R&D project that will be carried out at our Dutch research center BASF will make an additional research milestone payment. As you would expect, as BASF commercializes new products based on C1-derived enzymes the terms of our licensing agreement will provide for further milestone fees and royalty payments. In addition to this initial research project we also anticipate BASF may fund additional R&D projects for years to come. BASF is a great partner for us but keep in mind that it’s just the latest installment in a series of partnerships we’ve concluded that all validate the attractiveness and growing recognition of the versatility and value of our C1 platform technology. We have a variety of diverse license and collaborative agreements such as with biofuel leader Abengoa Bioenergy, pharmaceutical client Sanofi Pasteur, a multinational food company and two animal health and nutrition companies. By the way, we would love to reveal the names of those licensees but they have requested to remain anonymous for competitive reasons. Some of our licensees are on their way to commercialization and today’s press release outlines the progress being made by many of them. For example, Abengoa expects to have their first commercial cellulosic ethanol plant up and running by the end of the year. We anticipate that Abengoa will be using C1 to produce enzymes that will create cellulosic sugars for their ethanol plant in Hugoton, Kansas. Based on a late Q4 startup we do not expect any royalty or other license revenue from this plant to hit our P&L until 2014. Another example is the biopharmaceutical field where we continue to make good progress in our development collaboration with Sanofi Pasteur. Our research team continues to progress in expression and purification of proteins that will form the basis for a vaccine. We recently signed a third extension to the agreement and feel confident about them moving to the next phase of development. Finally, in addition to our existing licensees we are in active discussions with a number of new potential partners in a wide variety of fields including biofuels, bio-based chemicals, pharmaceuticals and industrial enzymes. These potential partnerships allow us to continue to expand C1’s global footprint in both developed regions and emerging markets. I want to conclude with another important operational highlight. Last week we announced the addition of Danai Brooks as Executive Vice President and Chief Operating Officer. Danai will play a key role in driving our business development and licensing efforts as well as driving improvements to our overall operations, both here in the US and abroad. Danai knows the company well having worked with us in the past as JP Morgan Investment Banker on several initiatives. His knowledge of Dyadic, his background in both manufacturing and the financial community and his energy, enthusiasm and intelligence make him a great addition to our team. Danai will join us in early June. Let me turn the call back over to our CFO, Mike Faby, to discuss our Q1 financial results. Mike?
Michael Faby: Thank you, Mark. Before reviewing the Q1 2013 financial results I would like to refer you again to our Q1 2013 press release and the 2012 year-end financial statements which are posted on the Dyadic and OTC Markets websites. Also, for additional information on the BASF agreement I want to point you to the Dyadic press release from earlier today which is also on our website. Now let’s turn to the Q1 income statement. For the quarter ended March 31, 2013, total revenue was flat at $2.5 million due largely to a decrease in research and development revenue which was offset by a 20% increase in the net product-related revenue. Net product-related revenue for Q1 increased to $2.1 million, up from $1.7 million in the previous year. Research and development revenue decreased 51% to $387,000 for the same quarter ended March 31, 2013, as compared to $784,000 for the same period in the prior year. The decrease was due to the completion of two projects in process last year and the delay of certain projects this year because of resource constraints and contract delays. As mentioned by Mark earlier, BASF will initiate at least one research project at Dyadic Netherlands this year and we expect others to follow. These BASF research projects will add to our research and development revenue. There was no license fee revenue for Q1 2013 but we expect the BASF license fees of $6 million will be recognized in Q2 and/or Q3 of this year. Gross profit decreased 31% to $520,000 in Q1 2013, down from $757,000 in Q1 2012. This decrease was due to the decrease in research and development revenue and the loss of related margins on that revenue. Product margins decreased slightly in Q1 2013 as compared to 2012 due primarily to changes in our product sales mix for the quarter. During Q1 2013 the company also increased its provision for slow-moving inventory and experienced increases in certain raw material prices. Please note that we continuously evaluate more cost-effective raw materials for use in our manufacturing processes on an ongoing basis. Product-related revenue margins are expected to improve for the remainder of the year. General and administrative costs for the quarter were up 28% to $1.3 million due largely to increased expert witness expenses in our ongoing case against our former outside legal counsel. This increase was expected and we anticipate these costs will continue to the trial date which has not yet been scheduled. Research and development costs for Q1 2013 increased 48% for the prior year as a greater portion of Dyadic’s internal resources were devoted to internally-funded research and development projects for the improvement of the C1 platform and other enzymes-related research. Exchange rate swings between the US dollar and Euro resulted in a $102,000 negative cost swing as the US dollar strengthened in 2013 against the Euro. The net loss for the quarter ended March 31, 2013, was $1.5 million or $0.05 per basic and diluted share as compared to a net loss of $781,000 or $0.02 per basic and diluted share for the same period last year. Please note that excluding stock-based compensation and nonrecurring litigation and arbitration costs Dyadic’s loss from operations for the quarter ended March 31, 2013, would have been $797,000 or $0.02 per basic and diluted share as compared to a net loss of $472,000 or $0.01 per basic and diluted share for the same quarter last year using the same assumptions. As of March 31, 2013, Dyadic had approximately $4.1 million in cash and cash equivalents. Our cash position is up 3% compared to the December 31, 2012 balance. The BASF transaction Mark mentioned earlier is expected to generate at least $6 million of additional cash inflow in 2013. On the liabilities side, Dyadic currently has $8.2 million in debt which decreased $182,000 during the quarter due to the conversion of certain subordinated debt into common stock. As a reminder, our debt matures on January 1, 2014. We are also comfortable that any unconverted debt will be repaid or likely extended to a later maturity date if requested by Dyadic. Additional cash flow will be generated by the funded BASF research and development. Looking forward, we are comfortable that our current cash position in combination with cash generated from pending and future transactions will be more than sufficient for Dyadic to conduct its operations for the next several years. As always we are committed to not diluting our stockholders if possible. Therefore we intend to rely on the funds generated by Dyadic’s operations and the growth of our business segments including product sales, research and development revenues and licensing transactions to fund operations. We currently have no plans to raise additional capital at any time in the near future. Let me conclude with our outlook. We do not offer specific guidance but we are confirming that with the signing of the BASF license transaction and the associated upfront fees as well as expected continued growth in product-related revenues and research and development revenues from the BASF project as well as other R&D collaborations we do expect 2013 total revenues to increase versus 2012 and we expect to be profitable for the full 2013 year. Now I’d like to turn the call back to our Operator to take your questions.
Operator: Thank you. (Operator instructions.) And will take our first question from David Jacobs, a private investor.
David Jacobs – Private Investor: Thank you very much. [coughs] I apologize for the sound of my voice. On the BASF contract, several quick questions, all related. I assume it’s signed and executed – is there any reason not to expect the first $5 million to be paid in Q2? At one point one of the speakers said that you’re going to get it in Q2 and Q3 and I know the $1 million comes after the $5 million, but at this point is there anything left for the company to do to get the $5 million in Q2?
Mark Emalfarb: No. In fact we expected to get it basically within 30 days of signing the contract so that falls within Q2, so if they pay it on time we’ll get it in Q2.
David Jacobs – Private Investor: Have you signed the contract?
Mark Emalfarb: Yes, of course.
David Jacobs – Private Investor: Oh thank you, okay. That was my question, thank you again.
Operator: And we’ll go next to Michael Queen with Universal Capital Management.
Michael Queen – Universal Capital Management : Hi, I’m relatively new to the company. One of the things that I question and wonder what your direction will be on advising the investment community of exactly who you are, what you’re doing and being able to create some demand or at least get some eyeballs on your stock.
Mark Emalfarb: Well, we just hired a company called ICR about a month ago. I think in April, we turned to them maybe two months ago and we’re starting to put some more visibility and attention into going out and meeting with institutional investors and analysts to do exactly that – put more eyeballs on the stock now that we feel comfortable that we’re in a very good financial position and we have a lot of opportunities in front of us. So we’re now going to go out and tell the story and try to educate people as to what we think we’re doing and where we think we’re going.
Michael Queen – Universal Capital Management : Do you know how many shares are in your float?
Mark Emalfarb: I don’t know how many shares are in the float, no. I think there are a total of 300,000 trades a day, so apparently it’s fairly liquid.
Michael Queen – Universal Capital Management : Right. Well, the biggest thing that I see is the lack of market makers which is really lack of exposure, which can easily be fixed. I’m not trying to be negative; it can certainly be a positive but the lack of exposure is evident on your total liquidity. But if you plan on getting it out there and getting the news out there you can certainly fix that.
Mark Emalfarb: We’re working towards doing that.
Operator: And we’ll go next to Richard Deutsch with Ladenburg Thalman.
Richard Deutsch – Ladenburg Thalman & Co.: Yes, well congratulations on the licensing deal – that’s a real significant validation of your technology. And the fact that they signed a nonexclusive leads that confidence that they have placed in you in front of other people that you might want to do business with. I have several questions but I’ll just leave it to one or two to start with. I’ve been very interested in some of your other deals that you’ve announced, and what I find significant is all of the deals you’ve announced over the years, nobody has ever pulled out. They invest tremendous amounts of money in developing product on their own dime and you will incur future royalties and milestones. But I’d like to know especially about the food company deal – the first question, since there’s almost no data that you’ve left do you think the food company deal represents significant future revenues to the company or would you say it would be not real significant to your market cap?
Mark Emalfarb: I don’t know how to qualify significant. To me all the deals are significant because it’s not just one product or two products we’re working on today – it’s the pipeline of products that if we’re successful on the products we have today they’re going to bring forth tomorrow. So it’s very difficult to answer that question but I think that the thing is we’re not keeping the name from you because we want to – we’re keeping the name from you because they want us to. But this is a leading company in their field in the food industry and it’s well-recognized, and we expect to obviously work with them for many years to come.
Richard Deutsch – Ladenburg Thalman & Co.: Well Mark, you do know significant revenue versus what your current company market cap is. I’m just asking you whether we ought to look at this thing as something that could be generating significant value for us or something that may just be interesting but not monetarily very valuable.
Mark Emalfarb: Well, it’s monetarily valuable in my eyes. I don’t know, again, significant… Beauty is in the eye of the beholder so if you’d want to define “significant” for me I can maybe answer that question. But you know there’s [multiple ways to define] significant.
Richard Deutsch – Ladenburg Thalman & Co.: Yeah, I’ll define it for you – do you think it can generate as much as $10 million in revenue over the course of the next three to five years?
Mark Emalfarb: I don’t think it will generate $10 million in the next three to five years but it could.
Richard Deutsch – Ladenburg Thalman & Co.: Okay. And one question and then I’ll go back into queue. When do you think you will be able to disclose more details about this particular contract?
Mark Emalfarb: As soon as they give us permission. It’s hard to say.
Richard Deutsch – Ladenburg Thalman & Co.: Well try – a year, two years, six months? When do you think we’ll have the window of opportunity?
Mark Emalfarb: By the time they start registering the product it’ll become public anyways so it’ll be obvious that the C1 technology’s being used in the registration. So I don’t know – it could be a year from now, it could be two years from now, it could be six months from now. It’s up to the company and what they want us to do and when they want us to do it. We’re happy to have their business and their confidence and we’re happy to work with them.
Richard Deutsch – Ladenburg Thalman & Co.: Alright, so at most two years and at least six months. Alright, thank you Mark, I’ll go back in the queue.
Operator: And we’ll go next to [George Frable], a private investor.
[George Frable] – Private Investor: Good afternoon. Thanks for taking my call. Congratulations on the BASF deal, Mark – I think it’s really impressive. I do have a couple of questions but I’ll try to keep them short here. The C1 patent, knowing that that’s been issued for some time now, what provides Dyadic with patent-related, product-related protection as we approach the expiration of that?
Mark Emalfarb: First of all there’s a variety of patents that cover the use of C1 for all kinds of applications, all kinds of-
[George Frable] – Private Investor: Okay, so it is application-specific.
Mark Emalfarb: Yeah, well I mean it’s in general and specific. The older patents are textile patents that are virtually irrelevant to the company today and it’s a business we’ve been jettisoning for many years. So as I mentioned on previous calls it’s not just about the patents, it’s about a life form that we’ve created. We took this life form and made it better and cheaper and more robust and more versatile, so even if you had no patents it would take years and tens and tens of millions of dollars for people to try to duplicate it and they’re not likely to do it. And these license agreements [fall for them] as long as they use C1 whether they’re patented or unpatented, which [in this case] is big. So it may be at varying rates and different times in different zones but we’re not too worried about it and apparently nor was BASF.
[George Frable] – Private Investor: Alright, very good. Just a quick one on the stock listing: any plans to proceed ahead in the next quarter with relisting at a full regular basis?
Mark Emalfarb: Well it’s not likely to be in the next quarter but we are bringing in people to put an infrastructure in place to do that in the future. Like Danai Brooks we just brought in, the Chief Operating Officer, and we’re implementing the things that we need to do in terms of the cash and of course it costs money to do that. We put ICR in place so we can go out now and start promoting the company in terms of educating potential investors of what we do and how we do it, and why we do it and where we think we’re going. And we’re taking steps to do that. So we recognized that that would help the liquidity and volume and hopefully market share and market appreciation.
[George Frable] – Private Investor: Very good, thank you.
Operator: And we’ll go next to Tim Quinlisk with Mayo Capital.
Tim Quinlisk – Mayo Capital: Hey Mark, a question for you on the BASF transaction. Can you give us a little more context in terms of how broad BASF intends to use the C1 product?
Mark Emalfarb: Fairly broad. I mean they have very broad rights. They don’t have rights for all fields and all industries but they do have very broad markets. Again because of the confidentiality I can’t get into specifics but I think if you notice in, I don’t know if you saw today’s press release from BASF on their own but they just acquired Henkel’s detergent business and they signed a deal with [Derivo] to work on animal feed and animal nutrition products. So I think they’re going to plan on using it quite broad. We met with a variety of people in a variety of different market application industries within BASF. They’ve got 110,000 people there and I think they’ll apply it as far as they can.
Tim Quinlisk – Mayo Capital: Let me ask you this, Mark: can you quantify on let’s say an FTE basis the additional resources you might add to your Netherlands capabilities to support their research or is that something you already have in-house in terms of capability?
Mark Emalfarb: Well, we have capability to take on the projects that we have today that they’ve already signed up to do. Obviously depending on how much work they want to throw at us that work can be done in-house or it can be done in their house. So you’ve got to remember just like Codexis when we licensed the technology to them they put on 109 people in their house. They spent a couple hundred million dollars [of their] money on making C1 better, more productive for the things they want to do with it. So you know, BASF has molecular biologists, enzymologists and all the scientific horsepower that anybody could ever imagine in their house. So the one thing that we are doing which we’ve explained is we have to transfer the technology to them, and by the way we did that with Abengoa and we did that with Codexis, and it’s my understanding Abengoa has now 40 people in-house working on this technology. Codexis had 109, I don’t know what they’re down to now after scaling back but still a significant number of people are involved there. So we don’t have to do all the work. We’re going to do some of the work; we’re going to train them to do the work so that they can use their own staff and their own people to do it. In the end the real money here is in [adapting it] in terms of the royalties and the commercial milestones, so the more work that we can call do the better it is for everybody. So we’ll take on what we can handle but we don’t want to take on too much to the fact that then they cut back and we have all these people and all this overhead.
Tim Quinlisk – Mayo Capital: Okay. And then with regards to BASF, presumably I did not see any announcement related to the biofuels effort there so it’s not in the biofuels segment?
Mark Emalfarb: Well again, because of the license agreement but you can assume based on what you’re saying that that may be the case.
Tim Quinlisk – Mayo Capital: Okay. So I guess the other question I wanted to ask you is your biofuels efforts centers around Abengoa and Codexis at this point. Can you give us an update on sort of the initiative Codexis is trying to do as a partner of yours to solidify sort of a partner there to expand that capability in the areas that they’re not in? And what’s the direction – are you getting any guidance from them?
Mark Emalfarb: Well, we’re definitely getting guidance in discussions with them but it’s all under confidentiality where we can’t share it with you. But obviously they’re out looking for somebody to replace Shell and find a way to continue to drive that forward. They have a very good product, they spent a lot of money on it; they created some good technology and they’re trying to capitalize on it. And we wish them the best and hope that they’re successful and we’ll try in our best way possible to try to help them without hurting ourselves at the same time, you know.
Tim Quinlisk – Mayo Capital: Are you looking to expand beyond that relationship to other partners in the biofuels segment?
Mark Emalfarb: Yes. And we’re in a discussion with a variety of people already.
Tim Quinlisk – Mayo Capital: Okay. Finally Mark, I’ll just make a comment about the listing. I applaud your efforts to go out and tell the story but you really need to understand it’s impossible to attract an institutional base of investors when you’re not listed. So good luck.
Mark Emalfarb: Right. We understand it’s a sever limitation, not being listed [on the national stage].
Tim Quinlisk – Mayo Capital: Okay great, thank you.
Operator: And we’ll go next to Joe Pratt with Wells Fargo.
Joe Pratt – Wells Fargo: Hi Mark. I’m completely uninformed with regard to your situation but just explain to me let’s say this year and next year, I can see your current gross margin and can you explain to me why you don’t get rewarded in a more healthy way for the product sales? And then how do you remedy that gross margin situation?
Mark Emalfarb: Well, we’ve been using certain technologies that we’ve had limited cash to continue to improve upon. In terms of the products themselves we’ve invested more heavily into the platform itself so that we can then leverage it into the people like BASF and Codexis and Abengoa and Sanofi, and all the other people that now license the technology; and hopefully additional licensees or joint venture partners or collaborations that we’re going to do going forward. So one of the reasons we believe that BASF came to us is because we spent the money to create the platform that could exponentially grow their business as well as potentially ours – but we have to have the money to put into our product development. And finally we now have a cushion of some money to start putting more money into product development and yield enhanced improvements.
Joe Pratt – Wells Fargo: So it’s just very expensive to make your products?
Mark Emalfarb: Not that it’s expensive to make the product. It’s a biotech product that you continually make higher and higher productivity and higher-yield. It’s like putting more money into the research and we put our money into making the platform more productive, more robust and more versatile [for] making things that we can make in the future – and obviously that the people who we’re licensing to can make today because they have the resources to apply to that platform what we didn’t.
Joe Pratt – Wells Fargo: I’m just understanding why there’s almost no gross margin – why you can’t, if it’s a proprietary product why you can’t price it for value, which means a %60, 70%, 80% gross margin.
Mark Emalfarb: Well, some of these products are proprietary to us but there’s competitors out there. We sell in the textiles business and we have virtually jettisoned that business because the margins were terrible. We’ve been weaning that away for a long time. In the animal feed business we have a good product, we have good margins on that product. We sell it but there’s competition. We can’t just price it for whatever we want; we have to price it at what the market will bear. The goal here now is to take and make next-generation products using C1, to make those products better and cheaper.
Joe Pratt – Wells Fargo: Now are any of those products, with a $2 million product revenue line, are there any products made with C1?
Mark Emalfarb: Yes there are.
Joe Pratt – Wells Fargo: Okay, well maybe I’ll call you a little later. Thank you very much, I appreciate you taking the call.
Mark Emalfarb: Okay, thank you.
Operator: And we’ll go next to Robert Hoffman at Princeton Opportunity Partners.
Robert Hoffman – Princeton Opportunity Partners: Yes, thanks. A couple questions: on your product sales you’ve showed nice growth year-over-year. Is that something that we can think about going forward or is that a one-off sort of quarter?
Mark Emalfarb: Well, we certainly hope it’s not a one-off quarter and we expect to have growth. We told you that the animal feed business will start picking up and it’s started to – it has started to do that. More and more people are starting to buy it and the bigger customers are starting to buy more of it. So we expect to continue to grow that business this year, and to start growing even larger volumes and higher quantities in the few years ahead.
Robert Hoffman – Princeton Opportunity Partners: When you have your deal with BASF and you’re really not sure what the end product is going to be, do you have a royalty figure? Is it in today’s contract that X% of something, if they go into production you will get X%? Is that how it works or is it once the product is developed then you kind of have to go back to the negotiating table and figure out what share you get?
Mark Emalfarb: No, it’s predetermined already in the contract.
Robert Hoffman – Princeton Opportunity Partners: And what’s the denominator? So if you have an animal supplement, a food supplement – do you have to-
Mark Emalfarb: It’s a percentage of sales.
Robert Hoffman – Princeton Opportunity Partners: But if the supplement goes into something bigger… I guess that’s my point.
Mark Emalfarb: Then there’s a way to adjust it. If they mix it with three different products there’s a way to adjust it versus it being sold straight.
Robert Hoffman – Princeton Opportunity Partners: So you have some transfer pricing things to work out but essentially you know that if they develop a product you will get X% of the revenue that they get.
Mark Emalfarb: Right.
Robert Hoffman – Princeton Opportunity Partners: Thank you.
Operator: And we’ll go next to Luke Smith with Chapin Davis.
Luke Smith – Chapin Davis: Hi Mark. I had a question about an article I saw today in Bloomberg Business Week written by Andrew Noel where he quotes you as saying you’ve got another significant license deal coming soon in addition to BASF. Did he quote you correctly and what’s that all about?
Mark Emalfarb: Yeah, well we are working on additional license agreements. I don’t think I gave him a size or determined value of those things but we are in a variety of discussions and different stages of discussions with license agreements with other companies. But whether it’s the size of BASF or not is yet to be determined.
Luke Smith – Chapin Davis: Okay, well he did use the word “significant” so it sounded like a specific deal.
Mark Emalfarb: Yeah, well we have specific deals that are in different stages of negotiation.
Luke Smith – Chapin Davis: Okay, well he said “another significant deal.”
Mark Emalfarb: Well again, I don’t know what significant means to somebody.
Luke Smith – Chapin Davis: Well he’s quoting you. So you have some idea obviously.
Mark Emalfarb: If he quoted me correctly, he either did or didn’t. Certainly we are working on deals that we believe are valuable to our shareholders.
Luke Smith – Chapin Davis: Okay.
Operator: We’ll go next to Daniel Zuckerman with Integrity Brokerage.
Daniel Zuckerman – Integrity Brokerage: Yeah, just a couple things about historicals. Since I’m new to the company, when you look back at that stock from 2009 I believe it was that was selling for $0.14, obviously the company’s in better shape today than that stock selling for $0.14. I was just wondering whether or not the proprietary product you had as well as the business model was more or less the same as that company from 2009.
Mark Emalfarb: I think that the company’s like night and day from what it was in 2009, and I can go into excruciating detail but I think basically here the technology has gotten better, it’s gotten more robust, it’s gotten more versatile. We signed the Codexis license agreement in November of 2008 and we received some of the money I think then we got the rest of it in 2009. We signed our license agreement with Abengoa in 2009 for the use of the product. Subsequently we signed two animal nutrition deals, a deal with Sanofi-Pasteur, a food company. So the technology is maturing to the point where people are using it in addition to us using it to develop and hopefully produce their products going forward. So there were a lot of issues that we had as well, history issues that got settled and solved during that timeframe so I’m not sure that $0.14 in that timeframe was the right price or not but that’s what it was trading it. That’s what the investors in the community thought was the value of it. Obviously they all wish they had bought it back then, right?
Daniel Zuckerman – Integrity Brokerage: Well, I realize it’s endemic in the industry that everybody wished they had bought back in early 2009. You just needed a golf ball for what everything was being priced in early 2009. My other question was about private placements over the last couple of years. How much money has been raised from private placement in the last couple of years, secondary offerings?
Mark Emalfarb: I think somewhere around $7 million of which a lot of that’s my own money and other people that are related to me or friends and family, basically.
Daniel Zuckerman – Integrity Brokerage: And at an average price over the last couple of years, where would you say those secondaries went out at?
Mark Emalfarb: Actually they went out above the market price at the time. One I think was a $1.82 or $1.87 conversion, one’s $1.22 or $1.27 – I don’t remember the exact price, Mike can probably tell you that. But at the time they were at a premium to what the share price was. So these deals that were done were very, very investor-friendly, shareholder-friendly and without investment banks. So the investment bankers would have probably sold 50% warrant coverage and put us all in a lot worse shape. So again, me and my family own approximately a third of the company and we’re very friendly to shareholders.
Daniel Zuckerman – Integrity Brokerage: Right. In terms of BASF, considering their size – the $90 billion in rev or whatever that figure was you quoted there: given how big they are it would be probably what they spend on their office party at Christmas they could buy a company like a Dyadic. And I was wondering if a company that was much larger than you such as a BASF would acquire you what competitive disadvantage would they be at vis-à-vis the kind of people you could attract as clientele that maybe someone would not be as friendly to because it would be a competitor for BASF to be holding you in a sense.
Mark Emalfarb: Yeah, I’m not quite sure I understood the question – can you rephrase that to me?
Daniel Zuckerman – Integrity Brokerage: Well, to put it more straightforward: if BASF were to acquire you are there contracts that you presently hold that they would not have been able to attract because it would be competitors rather than people they wanted to compliment and sell the technology to? In other words…
Mark Emalfarb: Well, as we mentioned we have two animal nutrition licensees, right, and two collaborations in addition to BASF. So I would presume that BASF would never in a million years sign those contracts or have those contracts, and those contracts are limited in their scope of what we have to do for those people. They’re not wide open.
Daniel Zuckerman – Integrity Brokerage: Right, right. And I say it just goes to the concept that it seems like it would be so much simpler for BASF to own you than to be paying royalty or licensing.
Mark Emalfarb: Well hopefully down the road they’ll come to that conclusion at a price that would make us all happy and then we decide that it’s in the best interest of our shareholders to take that payment. But they’re not the only people out there that can use this technology. They want to expand their business for a variety of different reasons. I mean this platform is broadly applicable and can be used in the industrial as well as pharmaceutical industries, and biofuels.
Daniel Zuckerman – Integrity Brokerage: Okay, well thanks for your time.
Mark Emalfarb: Thank you.
Operator: We’ll go next to Richard Deutsch with Ladenburg Thalman.
Richard Deutsch – Ladenburg Thalman & Co.: Yeah, thanks Mark. Who was primarily responsible for bringing in the BASF deal?
Mark Emalfarb: It was a team effort, Rick. Everybody contributed to the effort.
Richard Deutsch – Ladenburg Thalman & Co.: Okay, the question is was JP Morgan involved in that?
Mark Emalfarb: Again, I mean certainly they had some initiative in there.
Richard Deutsch – Ladenburg Thalman & Co.: Okay, so of course it was a team effort and nobody’s responsible for all your success over the years but I just wanted to know whether JP Morgan and Danai Brooks was a part of this deal going forward?
Mark Emalfarb: Yes, they had a hand in it, yes. Were they responsible for it? Probably not. I think who’s responsible for it were the people in a (inaudible) doing the work every day that created a science and the fungus itself, and its abilities and capabilities – that’s what BASF saw and that’s what they liked. But yes, they had a hand in it, yes.
Richard Deutsch – Ladenburg Thalman & Co.: Okay, well you answered the question. And the follow-up here, going on to the Greenberg Traurig lawsuit, you say you don’t have a trial date set yet. When do you estimate that you will go to trial?
Mark Emalfarb: You know, I’m not exactly sure because things change, and actually I found out on Monday that the judge that we’ve had for the last four years is now changing courts and we’re going to have a new judge. And so we were asking for a trial date on Monday and found out when we got there that the judge is no longer going to be there at some point in the near future so we’ve got to wait for the new judge to ask for the trial date. So it’s another example of the slow way that justice works in this country and we don’t know the date yet. But once we know that date we will certainly inform you.
Richard Deutsch – Ladenburg Thalman & Co.: Okay, thank you.
Operator: And we’ll go next to [George Frable].
[George Frable] – Private Investor: Mark, I just had one question related to Abengoa’s startup in the Hugoton facility. There was as I recall a 35 million gallons a year projection there for year one.
Mark Emalfarb: 25 million.
[George Frable] – Private Investor: 25 million, okay. And the phase in, build-out, build up to that production rate – do you have any estimates from them on how that’s going to develop? Will that put additional load on you and/or will it just provide additional revenues for Dyadic?
Mark Emalfarb: Yeah, it’s not going to put an additional load on us. It’s a matter of once they have the plants operational and they work out the bugs that I’m sure they’ll have they’ll start producing the ethanol and they’ll slowly start producing I’m sure; and then ultimately I think they had mentioned that they thought it would be in full swing by sometime in nearly 2014.
[George Frable] – Private Investor: Okay, so we’re a year or so away yet and they anticipate to ramp up fairly rapidly the way it sounds.
Mark Emalfarb: Yeah, I think they’re supposedly starting to get lined up in Q4. But we won’t attract royalties till next year, we’re trying to be conservative. We may see them sooner.
[George Frable] – Private Investor: Alright, thanks. Thank you.
Operator: We’ll go next to David Jacobs.
David Jacobs – Private Investor: Yes, thank you again. I wanted to follow up very briefly on Mr. Deutsch’s question about the litigation. I realize there’s going to be nothing definitive but at this point what is the company estimating how long they think it might go? Obviously you don’t know and with the judges changing that makes it more cloudy, but are there any internal estimates as far as to how long you’re going to be paying these fees?
Mark Emalfarb: Well, the fees are going to be the fees whether we did them all in nine months or we did them in six months, because we don’t pay legal fees – it’s all in contingency-based.
David Jacobs – Private Investor: I’m sorry, so all the contingency and the expert witness fees, I understand.
Mark Emalfarb: Yeah, so the expert witnesses are going to be the expert witnesses. Those fees are going to be there – it’s just which quarter they show up in versus which quarter they don’t. Whether they’re delayed or not they’re just going to do the same job.
David Jacobs – Private Investor: So [in a much] more finite amount then.
Mark Emalfarb: Right, of course. So we have a good handle on that and we think we know what that’s going to entail, and we’re hoping to get that done in Q1 of next year, or Q2. But until the new judge comes in place I have no idea. We’re disappointed in fact at losing the judge we’ve had for four years.
David Jacobs – Private Investor: Okay, thank you.
Operator: And there are no other questions at this time. I’d like to turn the conference back to our speakers for closing remarks.
Mark Emalfarb: We’re very excited to welcome BASF into our family of non-exclusive licensees and about our strong start to 2013. The BASF deal further validates C1 as an industry-leading discovery and production platform for innovative, valuable enzymes and other proteins. Dyadic’s C1 technology is expected to strengthen BASF’s position in the industrial enzyme industry and they expect their license agreement with Dyadic will result in promising long-term opportunities. Empowering BASF, the world’s largest chemical company with our C1 technology provides them with access to a commercially proven industrial enzyme production platform. In using its vast resources to develop, manufacture and sell new products with the C1 platform BASF will have business opportunities for a variety of markets including animal and human nutrition. This transaction will have long-lasting effects on the industrial enzyme business in both Dyadic and BASF. In addition to the expected development of a new C1-derived product, BASF is expected to further improve the productivity, robustness and versatility of its C1 platform enabling the production of enzymes at higher levels, lower costs, and more quickly. Dyadic looks forward to working with BASF and utilizing our C1 technology in the expression of next-generation enzyme products for a wide range of applications. This collaboration is yet another example of Dyadic’s ability to leverage our technologies in a variety of industries. Additionally with the recent addition of Danai Brooks as our Chief Operating Officer to our management team and the continued R&D progress we are making in further refining our already-robust C1 technology we anticipate entering into a variety of potential collaborations such as additional licensees and joint ventures. Our cash position is solid and is expected to grow for the remainder of the year. We expect revenues to be up and we again expect to be profitable for the full year 2013. I want to thank I want to thank all of you for being shareholders and supportive of Dyadic and for participating in today’s conference call.
Operator: Thank you everyone. This concludes our program for today. You may now disconnect.